Operator: Greetings, and welcome to the TDS and U.S. Cellular second quarter conference call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the conference over to your host today, Ms. Jane McCahon, Vice President, Corporate Relations for TDS. Please go ahead, ma'am. 
Jane W. McCahon: Thank you, LaTonya, and good morning, everyone, and thank you for joining us. I want to make you all aware of the presentation we've prepared to accompany our comments this morning, which you can find on the Investor Relations sections of the TDS and U.S. Cellular websites. With me today and offering prepared comments from U.S. Cellular, Ken Meyers, President and Chief Executive Officer; Steve Campbell, Executive Vice President, Finance, and CFO; and from TDS Telecom, Vicki Villacrez, Vice President, Finance, and CFO. This call is being simultaneously webcast on the TDS and U.S. Cellular Investor Relations websites. Please see those websites for slides referred to on this call, including other non-GAAP and operating cash flow, adjusted EBITDA reconciliations. The information set forth in the presentation and discussed during this call contains statements about expected future results and financial results that are forward-looking and subject to risks and uncertainties. Please review the safe harbor paragraph in our press releases and the extended version included in our SEC filings.
 Shortly after we released our earnings and before the call, TDS and U.S. Cellular filed SEC Forms 8-K, including today's press releases, and their SEC Forms 10-Q. TDS will be presenting at the Drexel Hamilton Conference in New York on September 9, and we will be hosting analyst meetings at CTIA in Las Vegas on September 10. TDS will also be in Europe the week of September 28. And please keep in mind that we have an open door policy, so that if you're ever in the Chicago area, not necessarily for Lollapalooza, but if you'd like to meet with members of management, the IR team will try to accommodate you, calendars permitting.
 Now I'll turn the call over to Ken Meyers. 
Kenneth Meyers: Good morning, and thanks for joining us today. I'm glad to have this opportunity to talk about our second quarter results, a quarter that showed continued growth in our customer base, the top line and on the bottom line, whether you're talking about operating cash flow, adjusted EBITDA or net income and earnings per share. The highlights for the quarter include continued customer growth, primarily due to a significant improvement in postpaid churn. This quarter, postpaid churn was 1.34%, a level not seen in 8 years. As a result of the churn improvement, we generated 17,000 net adds compared to losing 26,000 lines a year ago and, effectively, flat gross adds.
 As Steve will discuss, the adds are primarily data-centric devices, like smartphones and tablets, which are taking advantage of our extensive LTE coverage. Gross adds, while flat year-over-year, were lower than we would've liked, driven by declines in consumer traffic in our stores and across electronic retailers generally. So while driving the same level of gross adds on a year-over-year basis, despite declines in traffic, is a good achievement, we need more to continue to grow our customer base. This means maintaining the low churn levels like we are now seeing and increasing gross adds.
 This strategic imperative is a driver to our best value positioning. In addition to this positioning, we continue to run tablet promotions from time to time to stimulate store traffic and increase customer satisfaction by giving customers more ways to capture the value they receive from our wireless service. This quarter, connected devices represented 32% of postpaid gross additions or 36,000 net adds. Connected device penetration is now about 9% of our customer base. We have also seen success increasing high-margin revenue streams through device protection plans, activation fees and accessory sales. Equipment installment plan offerings remain popular with our customers and have helped lower subsidy costs on higher end devices. 42% of postpaid devices sold to customers in the current quarter were on equipment installment plans.
 Also our shared data plans, which we called Shared Connect, now account for 65% of our postpaid customers, up from 40% -- some 47% at year-end. And with the strong tablet sales this quarter, average postpaid devices per account rose sequentially from 2.46 to 2.50 devices per account. We continue to see customers migrate to our Shared Connect plans. The underlying trends of smartphone adoption and the addition of connected devices continue to drive strong growth in data consumption. These are important steps supporting our strategy to monetize growth in data usage.
 All of these activities, smartphone adoption, increased connected devices, Shared Connect adoption with larger data buckets and EIP update, partially offset by some of the pricing competition, led to a revenue growth of 2% over the last year. Steve will provide details on ARPU and average revenue per account trends.
 On the network front, our 4G network is now carrying 83% of our data traffic. We are very pleased with this fast migration. Enabling this trend are two factors. On the handset side, 94% of our customers' smartphones are 4G LTE capable and on the network side, 87% of our cell sites have LTE. These LTE devices will experience even greater coverage over the next 2 to 4 months as we begin to implement our first major 4G LTE roaming agreement and as we complete the final wave of LTE buildouts. At the same time, we continue our Voice over LTE trials, and I expect to report our findings and plans later this year.
 Year-over-year growth in revenue, the elimination of expenses related to our billing system conversion and tight spending controls in other areas all combined to generate $163 million of operating cash flow in the quarter, up over 70% over last year. Similarly, we posted significant growth in adjusted EBITDA and net income. This performance has led us to increase our guidance for 2015 operating cash flow, as Steve will detail in a couple of minutes.
 To summarize, this quarter was a continuation of the turnaround that started to become visible in some customer metrics a year ago and now is more visible in the financial results. I want to acknowledge the efforts of all of our associates that made this possible, while still recognizing we have further to go to strengthen our position in our markets and to generate long-term return shareholders expect.
 Now I'd like to turn the phone call over to Steve. 
Steven Campbell: Thanks, Ken, and good morning, everyone. I'll begin with a few additional comments on customer results, shown on Slide 6. Postpaid gross additions for the second quarter of 2015 were 191,000, essentially flat with the results a year ago. Postpaid churn was one of the real highlights for the quarter, 1.34%: down from 1.73% last year. I'll say more about postpaid churn in a minute. Due to both higher gross additions and improved churn, we achieved postpaid net additions of 17,000 for the quarter, a solid improvement from the net loss of 26,000 postpaid customers a year ago. The mix of our postpaid gross and net additions in the second quarter is shown in the chart at the bottom of the slide. Smartphones represented 60% of gross additions and connected devices represented 32%. These 2 categories of devices also drove the net additions. Prepaid subscriber results also were improved over a year ago. We had 8,000 net additions versus 4,000 net losses last year, while churn improved to 5.2% from 6.5%.
 The next slide has a chart showing the trend in the postpaid churn rate over the past 9 quarters. As you can see, the churn rate has steadily declined over the past several quarters from a high point of 2.29% in the first quarter of 2014 to 1.34% for this past quarter. To repeat Ken's comment earlier, the last time that we reported churn this low was in the first quarter of 2007, more than 8 years ago. As stated earlier, our gross additions consist primarily of data-centric devices, with smartphones being the largest component.
 To shed further light on this activity, Slide 8 shows the trends in smartphone sales and penetration. During the second quarter of 2015, we sold 437,000 smartphones, which represented 87% of total handsets sold. This drove smartphone penetration to 69% of our base of postpaid handset customers, up from 58% a year ago. So at the end of the second quarter, we still had 31% of our postpaid handset customers with basic phones. We continue to work aggressively with targeted offers to upgrade these customers to smartphones and thereby drive additional data usage revenues.
 During the second quarter of 2015, we also sold 62,000 connected devices. Along with a higher penetration for smartphones and connected devices, we're also seeing more customers adopt our Shared Connect data plans. Penetration on these plans is now 65%, up from 47% at year-end and 22% a year ago. Getting more customers on data-centric devices and shared data plans is critical to the strategy of monetizing the growth in data usage.
 The next slide illustrates just how much that data usage has continued to grow over the past 6 quarters. During the second quarter of 2015, data subscribers on our network used an average of almost 1.5 gigabits of data per month. That's an increase of 14% over the amount that they were using a year ago. And we're seeing that usage have a positive impact on revenue from customers. Postpaid ARPU, as reported, was $53.62 for the second quarter of 2015, down $3.20 or 6% year-over-year. However, there are a lot of moving parts in ARPU, price competition, significant growth in data usage, discounts related to installment plans, just to name a few, and consequently, the reported number doesn't tell the whole story. When you look through it, the pricing and usage impacts have been largely offsetting. The equipment installment plans have resulted in a shift of some service plan revenue to equipment revenue. When we consider ARPU and the EIP billings together, we see that the year-over-year change is actually an increase of about 1%, not a decrease of 6%. There's a similar story for average revenue per account. The as-reported numbers show an increase of 1% year-over-year but when we consider the EIP billings, the increase is actually about 8% year-over-year.
 Total operating revenues for the second quarter were $976 million, up $18 million or 2% from $958 million a year ago. The increase was driven primarily by higher equipment sales revenues reflecting the growth in equipment installment plan sales. Service revenues were $824 million, down $19 million or 2% from last year. There were 2 principal factors. Number one, lower retail service revenues. Although we had an increase in customers year-over-year, the impact of that growth was offset by the decrease in reported ARPU discussed earlier. Number two, inbound roaming revenues of $49 million decreased $9 million or 15% due to lower volume for voice traffic and lower rates for both voice and data traffic.
 Our overall financial performance for the quarter was quite strong, as shown on the next slide. Operating cash flow for the quarter was $163 million, up significantly from $94 million a year ago. That's an increase of $69 million or 73%. Several factors contributed to the improvement. First, as I just discussed in more detail, total operating revenues grew by $18 million or 2% year-over-year. Total cash expenses were $813 million, down $50 million or 6% year-over-year. System operations expenses increased by $9 million or 5%, primarily due to outbound roaming expense. However, reductions in cost of equipment and SG&A expenses more than offset that increase. Cost of equipment sold fell $18 million or 7%, driven by fewer upgrade transactions. SG&A expenses fell by $41 million or 10%. Significant factors in that decrease were lower consulting costs and bad debts expense related to the billing system conversion last year, reductions in sales, employee and commissions expenses and lower roaming administration fees. This chart also highlights our true operating performance for the quarter. As you can see at the bottom of the slide, our operating income, excluding the nonrecurring gains or losses in both periods, dramatically improved from a loss of $54 million last year to income of $12 million this year.
 Adjusted EBITDA, shown next, incorporates the earnings from our equity method partnerships and imputed interest income from EIP transactions. Adjusted EBITDA for the quarter was $207 million, up 61% from $129 million last year, driven largely by the increase in operating cash flow. Earnings from unconsolidated entities were $36 million, including $19 million from the L.A. partnership.
 As disclosed in June, and again in our Form 10-Q report for the second quarter, we've been informed by the general partner of the L.A. partnership that the general partner in the L.A. partnership have entered into a transaction with respect to a spectrum license in the L.A. partnership's market acquired by the general partner in FCC Auction 97. We've also been informed by the general partner that cash distributions from the L.A. partnership will be suspended until the general partner has been paid for the spectrum license. Accordingly, we do not expect a cash distribution in 2015. By comparison, we received cash distributions of approximately $60 million in 2014. Cash distributions from the L.A. partnership do not affect the measurement of operating cash flow or adjusted EBITDA, nor will the reduction in the cash distribution for 2015 have a significant effect on U.S. Cellular's liquidity or financial flexibility.
 The strong results for the second quarter influenced our thinking about expected full year 2015 performance and led to our determination that we should increase the guidance for the operating cash flow and adjusted EBITDA measures. The updated guidance is shown on Slide 14 of the presentation. For total operating revenues, we have lowered the top end of the range by $100 million so that the range is now $4.0 billion to $4.1 billion. This reflects somewhat lower customer growth and EIP participation than originally expected. For operating cash flow, we're raising the range by $40 million at both ends to $440 million to $540 million. This increase balances the positive performance in the first half with the fact that we still have an intensely competitive market with a lot of pricing uncertainty and our assumptions about the level of promotional activity that we expect to see, especially in the fourth quarter. The increase for operating cash flow carries through to the guidance for adjusted EBITDA, along with updated estimates for earnings from our equity method partnerships and interest income, both of which have come down a bit. So we're raising the range by $20 million at both ends, with the new guidance for adjusted EBITDA being $600 million to $700 million.
 And finally, capital expenditures are still expected to be approximately $600 million. Note that the guidance does not incorporate any potential benefit that might result from the termination of our reward points program on September 1. At this time, there's still too much uncertainty related to the number of points redeemed and how they are used. As of June 30th, the balance of deferred revenue related to the unredeemed points was $81 million.
 Finally, I'll make just a couple of brief comments about U.S. Cellular's cash position. As of June 30, cash and equivalents totaled $362 million, up $151 million from the year-end level. In July, we borrowed the $225 million available under our term loan facility. In addition to these funds on hand, we have about $282 million of unused borrowing capacity under our revolving credit agreement. We believe that these resources, together with expected cash flows from operating activities, will be sufficient to meet our day-to-day operating needs for the foreseeable future.
 Now let me turn the call over to Vicki Villacrez to discuss TDS Telecom. Vicki? 
Vicki Villacrez: Okay. Thank you, Steve, and good morning, everyone. TDS Telecom had a solid quarter as we continued to execute on our strategic priorities. For the wireline and cable segments, that means we continue to focus on owning the best price in the market and using that advantage to grow high-margin broadband services, bundled with our video and voice products. For the HMS segment, we continue to execute the vision we have for profitably serving the IT outsourcing needs of midmarket customers. In our wireline business, we continued our focus on providing high-speed data services and related products, which has led to growth in IPTV connections. Our IPTV product, called TDS TV, leverages our high-speed network. TDS TV has been launched in 20 markets, enabling 147,000 service addresses or roughly 20% of our total footprint. We expect to launch in additional seven markets over the remainder of 2015, and we are very pleased with the success of our IPTV deployments, and we'll continue to make fiber investments to achieve our goal of approximately 25% of our ILEC service addresses. As a result of continually reviewing all of our operations, we agreed to sell 3 small ILEC territories in North Carolina. Our costs and demographic metrics in these markets did not support the capital investment required to be the most competitive data service provider in these markets going forward.
 Also in the quarter, we continued to move forward with the integration of our cable businesses. To further position us for growth and increase broadband penetration at Baja, we've increased the capacity on our broadband network and rolled out new products to improve the customer experience. We've also rebranded our Baja cable market as TDS for both current and prospective customers. Our recent improvements in the network and product offerings in these markets will make a difference in their choice of providers. We believe a new brand was needed to attract them to this improved experience. In addition, TDS has plans to continue to expand in the overall cable business, and we have a brand we could take to any region of the country. 
 In the BendBroadband market, performance has been strong and is exceeding our expectations. We continue to increase broadband connections and identify synergy opportunities, giving us confidence in our overall cable strategy, which is based on an investment thesis around monetizing the growing demand for high-quality broadband services. In our hosted and managed services business, we continue to focus on driving recurring service revenue growth by improving our ability to sell across our entire portfolio of offerings.
 Moving to the second quarter results on Slide 17. TDS Telecom had another good quarter. On a consolidated basis, we are seeing the success of our strategy. First, wireline IPTV and broadband services are replacing wholesale and commercial revenues. Second, cable operations nearly doubled in size with the integration of BendBroadband. And three, HMS made some good progress this quarter. Total revenues increased 11% due to both higher equipment sales and service revenues which featured 3% growth in organic recurring hosting revenues. Adjusted EBITDA, which is essentially operating cash flow for TDS Telecom, grew 7% year-over-year, primarily driven by the contributions from cable acquisitions and HMS in the quarter.
 Looking at wireline results on Slide 18. Retail revenue, which is residential and commercial combined, was flat year-over-year. Residential revenues grew 1%, as growth in broadband and IPTV more than offset the decline in our legacy voice services. The year-over-year decrease in ILEC residential voice connections has held at about 3% over the past 4 quarters. As expected, our commercial revenues decreased 4%, as revenues from increases in managed IP connections did not completely offset decreases from legacy voice and broadband connections. Wholesale revenues decreased this quarter as a result of continuing decreases in regulatory recovery and lower intercarrier compensation rates and is in line with our expectations.
 On a combined basis, total wireline revenues declined 3% to $176 million. Cash expenses remained flat year-over-year due to our continued cost control efforts. As a result, adjusted EBITDA decreased 6%.
 Turning to Slide 19. Our strategic focus on broadband and our IPTV product is reflected in our residential customer metrics. In our ILEC market, the residential broadband customers continue to choose higher speeds, with 44% choosing speeds of 10 megabits or greater, and now 13% choosing speeds of 25 megabits or greater. This is contributing to our higher residential ARPU. The uptake on IPTV is meeting our expectations at an average penetration rate of 24%. IPTV connections grew 53%, adding 9,700 subscribers compared to the prior year. We are offering a variety of speeds, up to 1 gigabit service, in our 20 IPTV markets. These actions are driving 98% of our customers to take all three services, which results in a very low churn rate. As you can see in the table on the bottom of the slide, average revenue per residential connection increased 3% to $42.10. This increase was driven by price increases for broadband and video services, customers opting for faster broadband speeds and customers selecting the higher-tiered IPTV packages.
 Looking at the Cable segment on Slide 20. You can see the effect of acquisitions on the 2015 results. Total cable connections grew to 273,000, primarily due to BendBroadband. On a same-store basis, total residential connections grew 7%, as growth in broadband and voice were partially offset by a decline in video connections. Commercial connections were flat on a same-store basis, but we expect to grow this over time. Excluding BendBroadband and a onetime item, revenues grew 2%, driven by an increase in average residential connection. Cash expenses increased due to higher advertising, plant maintenance and programming content costs. The increase in cable adjusted EBITDA was due to our BendBroadband acquisition.
 Turning to the HMS segment on Slide 21. We had an encouraging quarter. HMS operating revenues increased $8 million or 11% year-over-year. We continue to focus on organic growth and recurring hosting service revenues, which was 3% for the quarter. In addition, equipment sales were up $6 million due to higher spending by existing customers. Cash expenses were also up 6% compared to the same period in the prior year, which reflects higher cost of goods sold, offset by decreases in other operating expenses. HMS generated adjusted EBITDA of $4 million.
 We have provided our 2015 guidance on Slide 22, which is unchanged from the guidance we shared in May. Overall, we're pleased with the results of our second quarter, and we'll continue to update you on our successful execution of our strategic priorities for the remainder of the year. I will now turn the call back over to Jane. 
Jane W. McCahon: Thanks, Vicki. We also have Jay Ellison, Mike Irizarry and Doug Shuma in the room with us for Q&A. So operator, we'd like to open up the call for questions at this point. 
Operator: [Operator Instructions] Our first question comes from Ric Prentiss with Raymond James. 
Ric Prentiss: Obviously, very impressive growth on the guidance, really driven by a lot of margin improvement. As you guys think about your path on margins, what else can be done to improve margins and where do you see it heading on the U.S. Cellular side? 
Kenneth Meyers: Good morning, Ric. Thanks for the question. Given where our margins are now, we've got more work to do, right? More work is both -- we got to continue to grow revenue, first and foremost, just given our size. So that's the focus on continuing to grow our customer base and put more products and services out to that customer base. At the same time, we continue to work on our cost structure across the whole organization. Everybody in the organization is focused on that, with the objective of continuing to grow margins going forward. Now we always have different quarters, when we get to the fourth quarter and all the typical promotional activity, but if we look at it on a year-over-year basis, we have to continue to improve margins. 
Ric Prentiss: Okay. And one of the other key drivers of that can be the EIP. I think I heard in the prepared remarks, 42% of sales were EIP. It seems to me the industry is moving heavily that way. What -- where do you see that headed and how it could affect margins? 
Kenneth Meyers: So a two-part question. In terms of where it's headed, I don't know, and I say I don't know in that consumers are going to continue to pick what plans work best for them. We're at 42%, and we aren't driving one over the other, except I think what you will see is, perhaps, a bifurcation with EIP being extremely attractive to customers as well as to companies on high-end phones, and maybe not as effective on lower-cost handsets. In terms of the economics, it's a fascinating question, because we always get this one, what would it be if not for, which at a certain level is unanswerable. And also, it's a really company-specific answer that's a function of how long the financing period is, what their accounting rules that they have to apply are. In our case, because we have an option for an upgrade after 12 months, we're only booking a portion of that revenue on the front end. And so when we walk through it this quarter, it has a very minimal impact. In fact, it's arguable whether it's more than a couple of million dollars either way. So there's a lot of talk about this, but when you -- in our case, look at where we are today, having been in it for a year and the percentage of customers and then amount of gross adds and everything else, you put it all together, it has a real nominal effect on us right now. 
Ric Prentiss: And last question I got for you is maybe for Jay. From a standpoint of the iPhone, we have the iPhone messaging. I think you guys have started a new ad campaign. You've had the phone now for what, kind of 1.5 years, going on 2 years. How is the messaging going as far as letting people know you have it and to come back? 
Jay Ellison: Yes, that's a great question. We started our first iPhone TV campaign several months ago -- actually in the beginning of this quarter, and we are seeing both an improvement of awareness within our customer base of carrying the iPhone and additionally, our noncustomers through all of our work on consideration. We are seeing again, I think, driven very largely by our TV campaign in conjunction with Apple on our noncustomers' awareness of us having the iPhone. So we're just very happy with that campaign as well as all of our out-of-home work that we have been doing with Apple. So we're seeing very good progress in that area. 
Operator: Our next question comes from Sergey Dluzhevskiy from Gabelli & Company. 
Sergey Dluzhevskiy: First question is for Ken on the broadcasting spectrum auction. So it looks like the FCC Chairman is driving the process so this auction can take place in the first quarter of next year. What are your expectations for that auction? And do you believe there will be sufficient broadcast participation given what you're hearing now? 
Kenneth Meyers: So to the first part of the question, yes, I'm hearing the same thing you're hearing. We've got a date out there at the end of March, and we are on a march right toward that March date. He has been pretty clear that he's going to try to get that done and everything is lining up for that. Having said that, this is about the most complex auction one can imagine with both the forward and reverse auction. A lot of work is being done, even at the industry level, trying to help broadcasters understand the opportunity in the hopes of freeing up enough spectrum, because I think everybody is pretty aligned that with the data growth that we have seen and that we continue to expect to see, that spectrum is going to be a very, very critical asset going forward, we need more of it. And this is our next best chance at it. So I -- I'm hopeful that we're going to see a good auction from the standpoint of meaningful participation from the broadcasters so that we can continue to provide the services that consumers and businesses are just clamoring for. 
Sergey Dluzhevskiy: Okay. Another question on the wireless side, on mobile video. So Verizon is planning to launch a mobile-focused ODT [ph] offering later this summer and AT&T with its acquisition of DIRECTV will likely be in mobile video game as well, so those are two of your main wireless competitors. What are your thoughts on mobile video? What is your strategy? And do you see opportunities maybe to partner with fixed broadband providers or cable providers in your wireless markets to potentially combat some of those offerings from your competitors? 
Kenneth Meyers: Great question, Sergey. Exactly how the, what I'm going to call, branded video plays out is something I'm watching very carefully. My initial response is that there are so many outlets consumers have today for many different sources of video that to try to do a branded one, you're really coming up with a more limited opportunity than they already have. I mean, with all of the different apps, whether it be a cable company's app, whether it be Netflix, whether it be Hulu, there's so many different ways that consumers can get at it today, that I don't know how well a narrowly defined branded one is going to work, but it's one that we will watch very carefully. 
Sergey Dluzhevskiy: Okay. One question on TDS corporate side. So there were no repurchases in the second quarter, and so essentially in the first half, and I guess, this question is for Doug. So how should we think about the buyback trajectory for the balance of the year? And maybe you could comment on some of the reasons in general why you haven't had buybacks in the first half? 
Douglas Shuma: Yes, Sergey, good morning. This is Doug. I think we've already said -- we've been pretty consistent in saying that our capital allocation strategy reflects a long-term objective, and there are going to be points in time where there's a short-term swing for a lot of reasons. Having said that, I think we're tracking very closely to the 75%, 25% ratio of investments in the business versus distributions to shareholders. Some of the things that we think about, obviously, we have an upcoming spectrum auction, we still have our M&A objectives that we are pursuing. So right now, we want to maintain a lot of financial flexibility. As far as predicting what the back half of the year is, I'm not going to touch that one because we just don't know what it's going to bring. 
Sergey Dluzhevskiy: Okay. And I guess, in terms of M&A objectives. This is also either for Doug or for Vicki. So in May, I think we saw a new company get into the U.S. cable consolidation game with Altice agreeing to acquire Suddenlink, I think, at over 9x EBITDA, and Charter will probably look for additional consolidation opportunities after a TWC deal closing. So how -- I mean, what are you seeing out there in terms of cable deal buy plan available for TDS Telecom? And to what degree has it been affected, for example, by Altice-Suddenlink deal recently? 
Vicki Villacrez: So I'll take that one, Sergey. Good morning. I think Altice jumping into the U.S. market, I mean, I think it says a couple of things. One, obviously, it's a competitive market for the cable industry and it says that it's an attractive one. And we are -- I certainly can't comment on any specific potential transactions until definitive agreements are in place, but I can say that we still are bullish on the cable business, and we're actively pursuing cable -- additional cable acquisitions. 
Operator: Our next question comes from Barry Sine with Drexel Hamilton. 
Barry Sine: Question on the wireless -- this is on U.S. Cellular. I noticed on your website, you're featuring a promotion where you will undercut the pricing of AT&T and Verizon. If I look at your published rates that are on your website, I don't see that much of a difference. Could you kind of elaborate on what you're doing? How much are you undercutting and how much is that impacting ARPU in the quarter? 
Kenneth Meyers: In the quarter, very, very little. It's a promotion that's just been launched. And our strategy sits right underneath Verizon's. And what we've got at play here is, we don't have the same reach that their national advertising has nor do we have the same name awareness. So in order to get into the consideration side, you've got to offer the customer something to bring them into the store. To date, it's had almost no impact on ARPU, and I don't expect it to have a significant impact going forward, either. 
Barry Sine: Okay. And then wanted to touch on churn. You mentioned a very, very good result, and we're seeing that across the industry. I guess that cuts both ways, though. On the one hand, it makes it harder for you to win back customers you've lost in recent years as you're -- now that you have the network and the quality back up to snuff. On the other hand, I guess, it makes maintaining your base easier, and perhaps, you want to focus more on getting more revenue out of that base, and we talked about adding video to the package and so on. What's your thoughts, as churn becomes lower and lower in the industry, on how you continue to grow revenue and EBITDA in this business? 
Kenneth Meyers: Barry, give me an easy one. That is clearly a challenge, and there are, as you said, there's 2 sides to it. On the churn side, driving customer satisfaction and building loyalty and getting greater share of wallet is one of the strategic underpinnings of this company and everybody else out there, okay? And we've got marketing programs aimed at doing that. We've got programs that get executed in our stores every time a customer comes in, and through our customer contact centers. At the same time, just given where we sit today in terms of our size, we need to continue to grow more than just through that additional share of wallet. So tablets and things like that are all things that expand the share of wallet, but we need to add more wallets. That's behind kind of the pricing position that we've got there. We're getting some traction. We're still seeing 20% to 25% of our gross adds in any quarter are customers returning to us. Every day is a another story. The business that may have left us a couple of years ago, because we didn't have a certain device in our lineup, that are now off their contracts and coming back to us. We need to continue to drive that migration also though. 
Barry Sine: Okay. My last question. You mentioned that you've now signed a LTE roaming agreement. Wondering if you could elaborate on that? When does that start? It sounds like you're not able to reveal who the customer is, although there's only so many, I guess, choices there. 
Kenneth Meyers: At the right time, we will. I mean, where we're at right now, is, yes, we're done, we're in the implementation stages. That implementation takes work by the respective engineering organizations to connect these because of the way this data flows on the network as opposed to what voice does, and we expect to be launching that to our customer base within the next 60 to 90 days. And there'll be other changes that are in connection with that. So when we get there, we'll make a larger announcement. But it's just the first of what I expect to be multiple. We're working on others every day, too. 
Barry Sine: And should that positively impact your inbound roaming revenue? 
Kenneth Meyers: I don't know that it's going to have a much of an impact right away. These things take time for customers -- for companies to move their customers and everything else. I think it's going to have a more direct impact on our customers' experience going forward. 
Operator: Our next question comes from Simon Flannery with Morgan Stanley. 
Simon Flannery: Vicki, it was nice to see some of the wireline broadband momentum, and it was in stark contrast to what we saw out of the Bells over the last couple of weeks, and certainly cable seemed to be having a very good quarter. So can you just talk about what's going on, on the ground in the sort of the broadband wars? And what you -- I think you gave us some stats on the take rates. So it looks like people are going up to higher speeds, but how are you winning versus the cable companies? And then I'm not sure, maybe this is for Doug, but TDS' equity has outperformed U.S. Cellular, maybe 20% or so this year. So is there any consideration down the road or revisiting potentially collapsing the corporate structure and revisiting buying in the minority? 
Vicki Villacrez: Yes, Simon, I'll go first. On the wireline broadband side, yes, we saw some nice growth in the second quarter, and it's driven for 2 parts: one is our investments that we're making in cyber, in our most attractive markets, that is really driving nice growth, not only in the IPTV but in the broadband as well. And we're seeing over 95% of our customers that are taking IPTV, they're taking a triple play. So they're taking all 3 services. The second part of that equation is really the growth that's being driven by our broadband stimulus market, the investments that we've made. And we've finished 43 of our 44 markets, and so we're seeing really nice growth there. And as we look forward, we are working on our bonding strategy, which will also provide upgraded broadband speeds across our wireline. 
Douglas Shuma: Simon, I'll take part two of that, good morning. Yes, as far as buying in the stub or collapsing the capital structure, there's absolutely nothing imminent. If there were, we would have had to disclose that to you. Having said that, we get that question a lot, and it's something we do think about and it's something we keep our eyes on and analyze periodically. So if there's -- if there are any plans, we will let you know. 
Operator: Our next question comes from Arun Seshadri from Crédit Suisse. 
Arun  Seshadri: First, I just wanted to ask in terms of the L.A. partnership and just wanted to figure out what the timing would be for the resumption of the dividends? 
Kenneth Meyers: I'm sorry, you're going have to say that again. I didn't hear you. 
Arun  Seshadri: Sorry. The L.A. partnership, I just wanted to understand what the timing would be for the resumption of dividends? 
Kenneth Meyers: So there's not a specific time. If I look at the historical distributions out of there, our estimate is end of 2016 is probably the most likely scenario. 
Arun  Seshadri: Got it. And then as far as the sort of EBITDA margin improvement potential, how should we think about sort of your margin expectations? Are you managing towards any specific targets on EBITDA margins on the wireless side? 
Kenneth Meyers: Oh I've got a lot of very specific targets, but when asked earlier today, I didn't give a number, and I'm going to stay this behind that wall with your question, too. We've got a job to do, which is continue to improve our margins, and we've got a whole organization aligned around that and continue to march forward on a year-over-year basis. That's the commitment, but I don't have a number for you. 
Arun  Seshadri: Okay, great. I appreciate that. And then finally, as far as spectrum -- potential spectrum purchases at the broadcast auction, any color in terms of how you expect to fund that at this point? 
Kenneth Meyers: Well, I think that we've already talked about drawing down a term loan we put in place, and that was done in preparation of the upcoming auction. We've got an unused line of credit on top of that, that Steve had mentioned in his comments. Those are the most likely sources that we'd be using. 
Arun  Seshadri: Okay, so within -- between the borrowings you've already done in your term loan as well as your remaining availability, do you think that should be sufficient at this point? 
Douglas Shuma: At this point, yes, sir. 
Operator: At this time, I would like to turn the call back over to management for closing comments. 
Jane W. McCahon: Great. Well, again, thanks for joining us today. And if you have follow-up questions, please let us know. Have a great weekend. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and have a great day.